Operator: Welcome to Community Healthcare Trust 2021 Fourth Quarter Earnings Release Conference Call. On the call today, the company will discuss its 2021 fourth quarter financial results. It will also discuss progress made in various aspects of its business. Following the remarks, the phone lines will be open for a question-and-answer session. The company’s earnings release was distributed last evening and has also been posted on its website, www.chct.reit. The company wants to emphasize that some of the information that may be discussed on this call will be based on information as of today, February 16, 2022, and may contain forward-looking statements that involve risks and uncertainty. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the company’s disclosures regarding forward-looking statements in its earnings release as well as its risk factors and MD&A and its SEC filings. The company undertakes no obligation to update forward-looking statements, whether as a result of new information, future developments or otherwise, except as may be required by law. During this call, the company will discuss GAAP and non-GAAP financial measures. A reconciliation between the two is available in its earnings release, which is posted on its website. Call participants are advised that this conference call is being recorded for playback purposes. An archive of the call will be made available on the company’s Investor Relations website for approximately 30 days and is the property of the company. This call may not be recorded or otherwise reproduced or distributed without the company’s prior written permission. Now, I would like to turn the call over to Tim Wallace, CEO of Community Healthcare Trust Incorporated. Please go ahead.
Tim Wallace: Thank you, Gary. Good morning, everyone, and thank you for joining us today for our 2021 fourth quarter conference call. On the call with me today is Dave Dupuy, our Chief Financial Officer; Leigh Ann Stach, our Chief Accounting Officer; and Timothy Meyer, our Executive Vice President, Asset Management. As is our normal process, our earnings announcement and supplemental data report were released last night and filed with an 8-K, and our annual report on Form 10-K was also filed last night. The fourth quarter was busy from an operation standpoint and a little slowed from an acquisition standpoint. We have 5 different properties or significant portions of them that are undergoing redevelopment or significant renovations with long-term tenants in place when the renovations or redevelopment is done. Our occupancy has edged up over 90% and we have seen a pickup in leasing activity. We are encouraged by the activity we see on the part of healthcare providers. Our asset managers have been busy attempting to control expenses, while maintaining tenant satisfaction. Our weighted average remaining lease term was relatively stable at just less than 8 years. During the fourth quarter, we acquired 3 properties with a total of approximately 55,000 square feet for purchase price of approximately $9.8 million. These properties were approximately 94% lease with leases running through 2030, and anticipated annual returns of approximately 9.3% to 9.99%. For the year, we acquired 13 properties with a total of approximately 329,000 square feet for purchase price of approximately $88.4 million, which in the aggregate were approximately 98.3% leased, with leases running through 2036 and anticipated annual returns of approximately 9.03% to 10.83%. In addition, in 2021, we invested $14.4 million in notes receivable with anticipated returns of approximately 12% bring our total investments for the year to $102.7 million. The company has 3 properties under definitive purchase agreements for an aggregate expected purchase price of approximately $11.7 million and expected return to approximately 9.01% to 9.36%. The company is currently performing due diligence and expects to close these properties in the next few months. We also have the signed definitive purchase and sale agreements for 4 properties to be acquired after completion and occupancy, for an aggregate expected investment of $94 million. The expected return on these investments should range up to 10.25%. We expect to close on one of these properties in the first half of 2022, and the other 3 through 2022 and into 2023. In addition, we still have the signed term sheet for another 10 new properties and up to approximately $60 million of new investment, it is anticipated that these investments will be made over the next approximately 24 months. We continue to have many properties under review and have term sheets out on several properties with anticipated returns of 9% to 10%. We anticipate having enough availability on our credit facilities to fund our acquisitions, and we expect to continue to opportunistically utilize the ATM to strategically access the equity markets. On another front, we declared our dividend for the fourth quarter and raised it to $0.4375 per common share. This equates an analyze dividend of $1.75 per share. And I continue to be proud to say we have raised our dividend every quarter since our IPO. I believe that takes care of the items I wanted to cover. So I’ll hand things off to Dave to cover the numbers.
Dave Dupuy: Thanks, Tim, and good morning, everybody. I am pleased to report that total revenue for 2021 was $90.6 million compared to $75.7 million for 2020, representing 19.7% growth over the prior year. Meanwhile, total revenue for the fourth quarter of 2021 was approximately $23.2 million versus $20.1 million for the same period in 2020, representing 15.5% growth over the fourth quarter of 2020, while quarter-over-quarter revenue was flat. And on a pro forma basis, if all the 2021 fourth quarter acquisitions had occurred on the first day of the quarter, total revenue would have increased by an additional $222,000 to a pro forma total of $23.5 million in the fourth quarter. From an expense perspective, property operating expenses increased year-over-year from $13.6 million in 2020 to $15.2 million in 2021 or 11.3%. During the fourth quarter, property operating expenses remained flat at $3.5 million in 2021 compared with the same period in 2020. Sequentially, property operating expenses decreased from $4.1 million in the third quarter to $3.5 million in the fourth quarter. The decrease in property operating expenses quarter-over-quarter is a result of property tax true-ups on some of our buildings in the third quarter that did not repeat in the fourth quarter, as well as normal fluctuations in property operating expenses that occur quarter-over-quarter. For the year, G&A increased from $8.8 million in 2020 to $12.1 million in 2021 or 38.2%. In the fourth quarter, G&A increased from $2.5 million in 2020 to $3.2 million in 2021 or 26.9%, while remaining flat sequentially. For the year, however, cash G&A increased from approximately $4.0 million in 2020 to $4,948,000 in 2021 or 23.7%. While in the fourth quarter, cash G&A increased from approximately $1.1 million in 2020 to $1.2 million in 2021 or 5.9%, while decreasing 3.7% quarter-over-quarter. Increases in G&A were driven by compensation expenses related to new employees, stock issuances, and increases in amortization of deferred compensation, including a compressed amortization schedule for some of our INEOS . Please refer to Page 8 in the supplemental information report, as included with our 8-K filing and posted to our website for more details on a cash versus non-cash G&A expenses. Interest expense increased year-over-year from $8.6 million in 2020 to $10.5 million in 2021 or 22.3%, while remaining flat quarter-over-quarter. The increase in interest expense for the year related to our March 19, 2021 refinancing, where we added $50 million of incremental term loan debt, which also moved us into a higher pricing tier in our bank grid. For the year, our net debt to total capitalization remained conservative at 30.9%. Our net income increased from $19.1 million in 2020 to $22.5 million in 2021, or 17.9%. For the fourth quarter, net income grew from $5.2 million in 2020 to $6.1 million in 2021 or 16.7%. And sequentially, net income grew from $5.4 million to $6.1 million or 14.2%. Finally, I’m pleased to report that funds from operations, or FFO, for the fourth quarter grew from $12.2 million or $0.53 per diluted share in 2020 to $13.8 million or $0.57 per diluted share in 2021. And on an annual basis, FFO increased from $45 million or $2.03 per diluted share in 2020 to $52.9 million or $2.20 per diluted share, or $0.17 representing per share FFO growth of 8.4%. Adjusted funds from operations, AFFO, which adjust for straight-line rent, and stock-based compensation increased from $12.9 million or $0.56 per diluted share in the fourth quarter of 2020 to $14.9 million or $0.61 per diluted share in the fourth quarter of 2021. And on an annual basis, AFFO increased from $46.6 million or $2.10 per diluted share to $56.5 million, or $2.35 per diluted share or $0.25 representing per share AFFO growth of 11.9%. From a pro forma perspective, if all of the fourth quarter acquisitions occurred on the first day of the quarter, AFFO would have increased by approximately $145,000 to a pro forma total of $15 million increasing fourth quarter AFFO to $0.62 per share. That’s all I have from a numbers perspective. Gary, I think we’re ready to start the question-and-answer session.
Operator: We will now begin the question-and-answer session.  Our first question is from Sheila McGrath with Evercore ISI. Please go ahead.
Sheila McGrath: Yes, good morning. Tim, you mentioned in your prepared remarks and in the presentation, the strategic partnership with the dialysis entity that still is a term sheet. Just wondering what has to happen for that to be a final contract, and are you pretty close on that.
Tim Wallace: They’ve actually been gone through a private equity raise that we totally anticipate will close by the end of the first quarter. So we’re hopeful right after that, we’ll be documenting some actual properties. So it’s not that there’s anything wrong with it, it’s just they are strengthening their balance sheet and their ability to grow. And we’re happy for them to do that.
Sheila McGrath: Okay, great. And then your balance sheet by every metric is very conservative. What is your view on introducing a little bit more debt to the equation this year? And what is the kind of leveraged metrics that you prefer to operate under?
Tim Wallace: We’ve said from the beginning that our preferred long term debt to capital is in the 30% to 35% range and we are on the low end of that, we did last year add the $50 million term piece to our credit facility. And in the fourth quarter, we did not access the equity markets through the ATM. So we’ve kind of let to revolve or grow a little bit. But again, our long-term view is still to be in that 30% to 35% range and that’s where we feel very comfortable.
Sheila McGrath: Okay, great. Thank you.
Tim Wallace: Thanks, Sheila.
Operator: The next question is from Alexander Goldfarb with Sandler O’Neill. Please go ahead.
Alexander Goldfarb: Hey, good morning. Good morning down there.
Tim Wallace: Good morning.
Alexander Goldfarb: Hey, how are you? So 2 questions. First, obviously everyone is talking about inflation, and then certainly for real estate how landlords are getting pricing power in certain areas? Yeah, retail apartments, for example. As you look across the assets, the target assets that you seek to own, do you see the same dynamic where inflation is accelerating market rent growth or the rents that you will get on renewal? Or are the properties driven by different dynamics where the inflation doesn’t necessarily translate directly to rent growth?
Tim Wallace: Yeah, I think inflation is – our healthcare properties are shielded from inflation kind of both ways, lower inflation or higher inflation. And what I mean by that is the majority of our properties have bumps, but they’re not inflation base. And when we’re going to renew properties, we’re also fighting against right now the inflation that the provider is feeling from the standpoint of the labor rates in the supply chain cost that they’re experiencing. So my overall view is, inflation is basically somewhat of a neutral. It’s not a positive. It’s not a negative. From our standpoint, and then – I’ll look at Tim for just a second, do you have any additional comments as relates to what we’re seeing from the leasing standpoint?
Tim Meyer: No, I think that’s accurate, because health systems and other large operators have had pressures, as you’ve mentioned. And then – but on the flip side, we have seen some CPI increases that were pretty substantial and some that are subject to caps on both the ceilings and floors, which is standard.
Alexander Goldfarb: All right. Okay. Okay. And then my second question is, Tim, you mentioned about fourth quarter being a little slower on the transactions, you mentioned order into million completed last year. The company has grown almost 5 times or more so than that, since you guys went IPO, which obviously is credit to your investment approach. But the target remains sort of in that 125-ish range. So what are your thoughts on increasing at – not increasing at five-fold, but maybe adding, another – maybe growing it by $50 million or growing it somewhat just to complement the overall growth in the company?
Tim Wallace: Well, in addition to growing, there’s been several other aspects to the company that’s changed, I mean, one is our cost of capital has gone down substantially. If you look at what we do, we try to manage the difference between our portfolio yield and our weighted average cost of capital. And when we started the company, our weighted average cost of capital that that spread was not much and, and the weighted average cost of capital has gone down rather substantially. So we can produce a higher margin, and a higher FFO rate on a lower volume than we could then. So we’ve managed to is trying to manage to FFO growth and AFFO growth, and we want to do that on a basis that makes sense to us and that we feel comfortable with. So as I’ve said always, this is a lumpy business, sometimes we’ll be on the low end of our investment range, sometimes we’ll be on the high end of our investment range. But we feel very comfortable that we can produce the FFO and AFFO growth that is above the healthcare REIT average with what our current business plan is. I’ve said all along, they’ll come a time when instead of 125 to 150, it’ll be 135 to 160, or 140 to 170. But I don’t see it changing significantly from that as long as we’re able to produce the margins and the profit that we can. And we feel like we’ve still built into the portfolio as we’re renovating, redeveloping, re-leasing some of these spaces, we feel like there’s a lot of profit that we can bring out of the existing portfolio that obviously adds to that also. So we don’t feel a lot of pressure to bump it up. If we bumped it up, we probably have to reduce our target investment range from the standpoint of return and we just don’t see a need for that right now.
Alexander Goldfarb: Okay. Thank you, Tim.
Tim Wallace: Thanks.
Operator: The next question is from Kyle Menges with B. Riley FBR. Please go ahead.
Kyle Menges: Good morning. This is Kyle on for Brian. I was curious if you could provide a little bit more detail on the 4 property, do you plan to acquire for $94 million. Are they all about the same size? And then I think you mentioned that you expect to close on one in the first half of this year?
Tim Wallace: Yes. They are basically all the same size, it’s one of our clients, and they use the Southwest Airlines approach, it’s an in-patient rehab hospital operator, and you walk into – we currently have 3 of their properties in our portfolio, one in Temple, Texas; one in Longview; and one in Bentonville, Arkansas, or Rogers, Arkansas. And you walk into one of the facilities and it looks exactly the same as the other ones and even down to the artwork on the wall. So we’re doing more properties with them, and they currently have them under construction. The first one has been slowed down a little bit, because of supply chain issues that the construction industry has experienced. But the next two, I think are going relatively well, because there in climates that that allow construction through winter. The first one that we should closed out in Cincinnati, and the next two are in Texas.
Kyle Menges: Okay, thanks for that detail. And then, an occupancy front, you ended at 90% for the year, which is pretty much the highest we’ve seen over the past couple of years. Do you think that’s pretty sustainable? Or should we expect that maybe taper off as we move through 2022?
Tim Wallace: No. We hope to see that increase. We see a lot of leasing activity now. We see a lot of interest from healthcare providers. They’ve been very subdued on the leasing front for the last couple of years from the expansion standpoint. But we’re seeing a lot of activity. So we’ve got several large blocks now that are under significant discussion and pricing of tenant improvements, and analysis of fed up, et cetera. So we’re very hopeful to see that occupancy rate increase.
Kyle Menges: Okay. Thank you. That’s all for me.
Tim Wallace: Thank you.
Operator: The next question is from David Toti with Colliers. Please go ahead.
David Toti: Good morning, guys. Just a quick question kind of going back to the inflation issue. Do you underwrite increase in your cost of capital in the next 12 months or so? And secondly, does that impact your investing strategy? If the yields and the assets that you’re looking at aren’t moving, your spreads, obviously, collapsing to some extent? Are you underwriting that dynamic? Or do you think that you can sort of maintain that spread effectively?
Tim Wallace: We underwrite – we do anticipate interest rates to rise. We don’t underwrite inflation, but we – in our cost of capital, but we do anticipate interest rates to rise, I mean, it’s a fairly small piece of our capital base. But we do anticipate interest rates to rise, we knew underwrite that. And we think that we can fairly well maintain the overall portfolio yield to the cost of capital over the near- to mid-term.
David Toti: Okay. And then, if it doesn’t begin to compress, is there a point at which the strategy is impacted in any sense? Is the external growth efforts become reduced to some extent?
Tim Wallace: Well, it’s hard to imagine, it’s being impacted that much. I mean, our current portfolio yield is over 9%. And our current weighted average cost of capital is what they’ve already gained 5.25, 5.5, something like that. So, I mean, something drastic would have to push the cost of capital to significantly impact us. And the only thing I’ll say is, if it gets to where it impacts us, I mean, it has significantly impacted the other healthcare rates along the way. So I would anticipate at that point in time the cap rates would rise.
David Toti: Great. Thank you.
Tim Wallace: Thank you.
Operator: The next question is a follow up from Sheila McGrath with Evercore ISI. Please go ahead.
Sheila McGrath: Yes. I noticed that the occupancy did hit 90% as well. And I was just curious if you could comment on renewal rate in your portfolio. What does that trended? And how is that trending recently?
Tim Wallace: When you say renewal rate, are you talking about the rental rates? Are you talking about the percentage of…
Sheila McGrath: Oh, no. The percent of probability of renewal of the tenant staying in place?
Tim Wallace: I think we’ve been in the 90%, I think renewals, I’m looking at Tim now, he’s looking down, but he’s shaking his head. So we’ve been in the 90%, basically for life of the company, and we think we’re still there. Would you agree?
Tim Meyer: Yes, I agree with that. And we had a strong quarter of not just renewals, but expansion of existing tenants along with those renewals.
Sheila McGrath: And since you mentioned it, Tim, what on average is the increase – is it kind of inflation that you bump upon expiration that you’re bumping the new leases?
Tim Wallace: Yeah, that’s generally, I mean, we don’t try to – we’re not one who says we can push rating up 5%. But we’re generally, as I’ve said from the beginning things that were fairly provider friendly and want to maintain the provider relationship. So we’re basically in the 1% to 3% range generally with renewals.
Sheila McGrath: Okay, great. And then just on G&A, maybe this one for Dave. But, so the step up was because of – or partially was because of the new amortization schedule, was that new amortization schedule in place for all four quarters? And if there’s any kind of points that you could give us to how to think about both cash and stock G&A in 2022, any guidance type items that would be helpful?
Dave Dupuy: Yeah, what I can tell you Sheila is, it has slowly increased the non-cash amortization ramp up quarter-over-quarter, and we’ll probably for the next 2.5 years or so, as we get over the hump in terms of the INEOS  that have the compressed schedule. And so that’s one of the reasons why we’ve made an effort to segment in our supplemental the cash versus non-cash, because we truly think that the cash is the right thing to measure; and when you look at the cash basis, that we put on Page 8, especially as a percentage of revenue, it’s been trending down over the last 3 quarters. So we certainly like those trends, yes, it’s – we are not disclosing the specifics with regard to the amount of that amortization increase, but expect it on a non-cash basis to continue to increase for the next 2.5 years until we get over that that hump.
Sheila McGrath: Okay, great. Thank you.
Dave Dupuy: Sure.
Operator: The next question is from Michael Lewis with Truist Securities. Please go ahead.
Michael Lewis: Thank you. I had a little of what I’ll call it work from home distraction. So I apologize, if you already addressed these. First, on your third quarter release, it had said in the press release that you had already acquired one property for $3.5 million in 4Q and you had another $12 million that were under purchase agreements expected to close in the quarter, you did a little less volume than that. I was just curious if that was just a timing issue, or if something that was under a purchase agreement fell out.
Tim Wallace: Good morning, Michael. And we’ll let you go with the work-at-home extraction. And actually, we haven’t covered that this question. The difference is one property that as we were doing our due diligence, we found out that there was a problem with one of the tenants. And basically, the existing owner now has kicked that tenant out, but says he has another tenant to replace them. So we’ve kind of put it into a holding pattern, because we’re not buying it if you can’t replace it with a good quality tenant, and he says you can with that hospital system is supposed to new tenant. And so if he does that, we will close on it with all the due diligence is done at this point with the exception of this. So it would be a very quick close, if he can get the lease signed, and if he does, we’ll close it; if he doesn’t, we won’t.
Michael Lewis: I see. There’s no cost to you if you don’t close on that?
Tim Wallace: No.
Michael Lewis: Okay. And then my other question, I think you have a handful of properties with tenant purchase options that are now exercisable. What’s your expectation for those, are those attractive for the tenant exercise? Do you think you’ll have some properties that that get called?
Tim Wallace: We really don’t anticipate that we’ve got in – as of 12/31, I forget  . And we’ve actually negotiated 3 of those away in the first quarter. So now, I think it’s only four, I think, they do and we’re not anticipating that those are going to get hold, you never know. But that’s not the anticipation right now.
Michael Lewis: I see. And when you say negotiated away, what does that mean?
Tim Wallace: We signed lease amendment that takes the purchase options out.
Michael Lewis: Okay. Got it. All right. That’s all I had. Thank you.
Tim Wallace: Thank you.
Operator:  The next question is a follow-up from Alexander Goldfarb with Piper Sandler. Please go ahead.
Alexander Goldfarb: Hey, Tim, just one more follow-up. I think in the opening comments, you mentioned OpEx pressures, but I think then Dave mentioned, operating expenses were flat. Just sort of curious of my pressure is that the tenants, it’s basically a pass-through, so except for like some vacancy or whatever was over the first year, you guys are really sheltered from any operating expense, real estate tax increases, right? Or are there some other leakages that we should think about as inflation seep through different costs?
Tim Wallace: And actually, what I said was in my statements was that the asset managers were working hard to keep operating expenses low and maintain tenant satisfaction, which I think they’ve done a great job. But to answer directly your question, we’ve got a 10% vacancy in the portfolio. So operating expenses related to that 10% doesn’t get paid by tenants. And then we do have a small percentage of either modified gross or gross leases in the portfolio that we acquired. We don’t write those leases, but if it’s an acquisition and the leases in place, we do have some of those. So there could be some linkage there.
Alexander Goldfarb: Okay. That’s helpful. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Tim Wallace for any closing remarks.
Tim Wallace: I think that covers it. We appreciate everybody’s interest in spending time with us this morning and we’ll see you again in 3 months. Thanks.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.